Operator: Good morning, ladies and gentlemen, and welcome to Stingray Group's Third Quarter 2026 Conference Call. [Operator Instructions] This call is being recorded on Wednesday, February 11, 2026. I would now like to turn the conference over to Mathieu Peloquin. Please go ahead.
Mathieu Peloquin: Good morning, everyone, and thank you for joining us for Stingray's conference call for the third quarter of fiscal 2026 ended December 31, 2025. Today, Eric Boyko, President, CEO and Co-Founder; as well as Marie-Helene Fournier, Interim Chief Financial Officer, will be presenting Stingray's operational and financial highlights. Our press release reporting Stingray's third quarter results was issued yesterday after the market closed. Our press release, MD&A and financial statements for the quarter are available on our investor website at stingray.com and SEDAR+. I will now provide you with the customary caution that today's discussion of the corporation's performance and its future prospects may include forward-looking statements. The corporation's future operation and performance are subject to risks and uncertainties, and actual results may differ materially. These risks and uncertainties include, but are not limited to, the risk factors identified in Stingray's annual information form dated June 10, 2025, which is available on SEDAR+. The corporation specifically disclaims any intention or obligation to update these forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by applicable law. Accordingly, you're advised not to place undue reliance on such forward-looking statements. Also, please be advised that some of the financial measures discussed over the course of this conference call are non-IFRS. Refer to Stingray's MD&A for a complete definition and reconciliation of such measures to IFRS financial measures. Finally, let me remind you that all amounts on this call are expressed in Canadian dollars unless otherwise indicated. With that, let me turn the call over to Eric.
Eric Boyko: [Foreign Language] Good morning, everyone, and thank you for joining us for our third quarter fiscal '26 earnings call. I want to begin the call with talking about the significant progress that Stingray has made in positioning itself for long-term sustainable growth. We have built a unique and powerful position in the market, and I want to share with you the framework that will underpin our strategy. Stingray is built on 3 pillars that work together to drive our growth: distribution, monetization and content. Our first pillar, distribution. Our purpose is simple: to be everywhere our listeners are. We had executed on this and today, Stingray is the most widely distributed streaming media company across the platforms that are now part of our daily lives. We are the most widely distributed music player on connected TVs, smart speakers, mobile device, connected cars and thousands of retail stores. This massive footprint is our core strength. We have built our services directly into the device people use every day, making our content very easy to access. This gives us a powerful and lasting advantage that is difficult for anyone to replicate. As of today, we estimate that we have over $200 million of FAST channels unsold inventory and over $400 million of unsold retail media inventory. And as you can see with our reveals, we are quickly building our car inventory. Second, our second pillar, monetization, that -- we like the word monetization. Having a massive audience is one thing, monetizing it effectively is another. With the acquisition of TuneIn, we now have a world-class advertising engine to turn our reach into revenue. We have the technology, the ad stack, and the right demand side partnership to sell both audio and video ads across our entire network. For advertisers, this is a game changer. They can now come to one place, Stingray to connect with a global audience through their TVs, their speakers, their cars and at retail. This unified platform creates a predictable and highly scalable revenue stream for our businesses. So we have distribution. We have the monetization engine. That brings me to our third and perhaps the most important pillar, content. So in terms of monetization, we feel that we will be achieving $500,000 a day of programmatic sales. A year ago, when we were talking at this time, our sales of programmatic was 0. And now our run rate is $500,000 a day at USD 102 million or CAD 250 million. So when you talk about growth going from CAD 0 to CAD 250 million, that's a great new vector. Well, content -- what is the fuel in our entire model and what truly sets us apart? While other streaming compete in the expensive, very expensive world of on-demand music, we have built a smarter model focused on creation. We create expertly crafted players, engaging karaoke experience and world-class catalog of recorded concerts. This strategy gives us something very powerful, unmatched and scalable unit economics. Our content costs do not grow at the same pace of our audience. As we reach more listeners, our models become more profitable. We deliver premium experiences to hundreds of millions of users without the prohibitive costs that challenge others in the industry. It is a smarter, more sustainable way to grow. This is the story of Stingray, a company with unmatched reach, a world-class advertising engine and a unique content strategy. We are building a scalable platform for the future of streaming. The results we are sharing today are a direct outcome of this focused strategy. Let me now turn to review to our third quarter fiscal 2026. Stingray announced exceptional third quarter results for fiscal '26 with revenues and adjusted EBITDA -- adjusted free cash flow reaching record levels. On a consolidated basis, Stingray generated adjusted EBITDA of $44.5 million and adjusted free cash flow of $34.8 million on revenues of $124.8 million in the third quarter. The highlights has similar positive impact of its recent TuneIn acquisition and the continued expansion of high-growth areas like FAST channels, in-car entertainment. FAST channels, particularly drove our robust financial results as we leverage Stingray premium ad networks, which we call backfill to monetize unsold inventory and benefit from new deployment across the LG platform. In addition, the integration of TuneIn has progressed even better than planned. Following the closing of this transformative acquisition on December 19, TuneIn's performance has exceeded our expectations, creating powerful, new synergies that are already reflected in our strong financial performance. Revenue synergies with TuneIn reached an annual run rate of $16 million in revenues and $5 million in cost savings. As a reminder, we have established synergy goals for sales between $20 million to $40 million of cross-selling and for cost savings between $10 million to $15 million in the next 18 months or before March 27. So we started the year, let's say, on a fast track. On the in-car entertainment side, our recent agreement with world-class automated brands like BYD, Mercedes, and Nissan are a powerful validation of our in-car entertainment strategy. By integrating our full suite of products from Stingray Music and Karaoke to the rich content of TuneIn, we are cementing our role as an essential partner for the connected cars. These new partnerships certainly expand our global footprint and accelerate our momentum. At BYD, we raised our partnership to a new level through an OEM radio deal involving the integration of our full suite of products, including Stingray Music and TuneIn, under the BYD audio by Stingray brand, Stingray Karaoke and Comm Radio. Turning to Mercedes, we will launch Stingray Music and Stingray Karaoke applications in all vehicles equipped with our latest MBUX infotainment system. This application, which will be newly pre-installed in Mercedes cars is expected to be released in the first half of calendar '26. Just last week, we announced a collaboration with Nissan to bring a unique TuneIn offering to select Nissan and INFINITI vehicles in the United States. As a result, drivers will gain access to live sports, breaking news, creative music, millions of podcasts and tens of thousands of radio stations on the latest Nissan infotainment system. These partnerships do -- not only strengthen Stingray's global automotive presence, but also accelerate the rollout of branded in-vehicle audio experiences. Amid this flurry of activity, revenues for Broadcasting and Commercial Music business grew by 22% to $88 million in the third quarter of '26, while Radio revenues rose 2% to $36.7 million. In terms of our Radio business, we entered into the agreement to acquire the assets of CHUP-FM in late November to solidify our position in the Calgary market. More specifically, this deal will enable us to improve efficiency and achieve economies of scale, since we already own 2 other radio stations in the market. Altogether, Stingray Radio owns and operates 32 radio license in Alberta and 96 radio stations across Canada. Calgary, the transaction is subject to CRTC approval, while we expect it to close in the second quarter of fiscal 2027. Finally, I would like to reiterate the relative strength of our balance sheet post-acquisition. We are very happy to show that our leverage ratio is below 2.8x that we had told the market for the third quarter, and we ended December 31 at 2.49x. So a very good closing, very good cash flow for the company. Looking ahead for the next 12 months, reducing our debt will be our top of our capital allocation priorities with a target set to drop below 2x EBITDA by the end of calendar year, so by the end of December. So a very quick deleverage of this acquisition. Consequently, we believe Stingray's path to value creation will be marked by accelerated EBITDA growth and free cash flow generation in upcoming quarters. I will now turn over the call to Marie-Helene for our financial overview of the quarter, and I will be pleased to ask questions. [Foreign Language] Marie.
Marie-Helene Fournier: [Foreign Language] Good morning, everyone. Thank you, Eric. Revenues reached $124.8 million in the third quarter of fiscal 2026, up 15.4% from $108.2 million in Q3 '25. The year-on-year growth was mainly driven by enhanced advertising revenues from the recent TuneIn acquisition, higher equipment sales related to the acquisition of The Singing Machine, and greater FAST channel revenues. Revenues in Canada decreased 1.1% to $53.6 million in the third quarter. The year-over-year decline can be attributed to lower equipment and installation sales related to digital signage, partially offset by higher radio revenue. Revenues in the U.S. grew 42.5% to $60.3 million in Q3 '26, reflecting enhanced advertising revenues from the recent TuneIn acquisition, higher equipment sales related to The Singing Machine Company transactions. Revenues in other countries decreased 6.7% to $10.9 million in the most recent quarter. The year-over-year decline was mainly due to lower subscription revenues, partially offset by greater FAST channel sales. Looking at our performance by business segment, Broadcasting and Commercial Music revenues increased 22% to $88.1 million in the third quarter of 2026. The growth was driven by enhanced advertising revenues from the recent TuneIn acquisition, higher equipment sales related to the acquisition of The Singing Machine and greater FAST channel revenues. Further apart, Radio revenues rose 2% to $36.7 million in Q3 on higher digital advertising sales, partially offset by lower airtime revenues. In terms of adjusted EBITDA, Stingray also reported record numbers. Consolidated adjusted EBITDA improved 5.7% to $44.5 million in the third quarter. Adjusted EBITDA margin reached 35.7% in Q3 compared to 38.9% for the same period in 2025. The increase in adjusted EBITDA was mainly driven by organic revenue growth as well as the impact of the acquisitions. The decline in EBITDA margin, meanwhile, can be attributed to lower gross margin on sales related to the TuneIn and The Singing Machine acquisitions. By business segment, Broadcasting and Commercial Music adjusted EBITDA grew 4.6% to $33 million in the third quarter. Like consolidated adjusted EBITDA, the increase was due to organic revenue growth as well as the impact of the acquisition. Adjusted EBITDA for our Radio business improved 5.5% year-over-year to $13.2 million in the third quarter on the strength of higher revenues. In terms of corporate adjusted EBITDA, it amounted to negative $1.7 million in the third quarter of '26 compared to negative $2 million in the third period of 2025. Stingray reported net income of $7.5 million or $0.11 per diluted share in the third quarter of '26 compared to $15.7 million or $0.23 per diluted share in Q3 '25. The year-over-year decline was mainly due to the higher performance and deferred share units expense related to an increase in the Corporation's share price, as well as greater acquisition, legal restructuring and other expenses. These factors were partially offset by an unrealized gain on the fair value of derivative financial instruments and by a foreign exchange gain. Adjusted net income totaled $26.3 million or $0.38 per diluted share in Q3 2026 compared to $23.4 million or $0.34 per diluted share in the same period in 2025. The increase can be attributed to a foreign exchange gain and higher operating results, partially offset by greater income tax expense. Turning to liquidity and capital resources. Cash flow from operating activities amounted to a record $38 million in Q3 '26 compared to $35.4 million in Q3 2025. The year-over-year improvement was mainly due to a foreign exchange and positive net change in non-cash operating items. These factors were partially offset by higher acquisition, legal, restructuring, and other expenses. Similarly, adjusted free cash flow reached a peak level in the most recent quarter. Adjusted free cash flow totaled $34.8 million in Q3 compared to $28.6 million in the same period of '25. The improvement can be attributed to higher operating results, combined with lower income taxes and interest paid. From a balance sheet standpoint, Stingray had cash and cash equivalents of $17.3 million at the end of the third quarter and credit facilities of $519.7 million. Net debt at the end of the third quarter of '26 totaled $502.3 million, up $181.2 million from the end of Q2 2026, mainly due to outlays related to business acquisitions. As Eric mentioned earlier, our leverage ratio stood at 2.49x at the end of the third quarter. We intend to bring it down under 2x over the next few months or by the end of the calendar year, by diligently reducing our debt and generating higher adjusted EBITDA. Finally, we repurchased 303,000 shares for a total of $3.8 million during the third quarter under our NCIB program. This ends my presentation. I will now turn the call over to Eric.
Eric Boyko: Okay, Marie. This concludes our prepared remarks. I hope you like my introduction. At this point, Marie-Helene and I will be pleased to answer your questions. Back to you guys.
Operator: [Operator Instructions] First question comes from Stephanie Price at CIBC.
Sam Schmidt: It's Sam Schmidt on for Stephanie Price. I appreciate the disclosure around the run rate TuneIn revenue synergy figures. How are you thinking about the cross-selling opportunity from here? And what gets you to the top versus bottom end of that $20 million to $40 million target?
Eric Boyko: You know what, when we started it was very interesting. The deal wasn't even closed because we announced the deal and we had 2 weeks to wait for the Competition Bureau. And I think 3 days later, we already had like 8 different vectors that TuneIn is already helping us sell. So what are we selling? They're helping us on CTV, helping us sell Comm Radio, they're helping us sell ads on Stingray Music, they're helping our radio team, which we sell TuneIn in Canada. So the cross synergies, we have over 9 products. We quickly achieved just in 1 month in January, $16 million run rate. We said $20 million to $40 million, but right now, I'd say $20 million to unlimited because like I said before, a year ago, we were doing 0 in programmatic sales and we are very confident that by the end of this quarter, by the end of March, we will be running at USD 500,000 of programmatic sales on all the different platforms, which is USD 182 million, which is roughly CAD 250 million. So I think the cross synergies are really -- and the more we launch products, the more we launch cars, again, we're talking about distribution, all will be net finance, all the model is advertising in programmatic. And the beauty of programmatic is it's a very deep lake and the TuneIn team is a first-class, sophisticated, ad tech machine. And I think this merger is a perfect merger on the cross-selling. So I think the $20 million is just a starter and we're very excited -- in June, in 4 months -- to really give you our first quarter together and just give you a bit of feedback. TuneIn grew in January by 81%. So a big start of the year in January. So very happy about that. Again, we have to be careful, it was a good quarter, last year was a bit weaker. There was the tariffs, and there was Trump and the Liberation Day -- won't go in that debate, but a very good start of the year, so very happy.
Sam Schmidt: Just one more for me. I wanted to ask around the cost synergies as well. Can you provide some color on those initiatives? And how are you thinking about Broadcast and Commercial segment margins as you work through those cost synergies...
Eric Boyko: In terms of cost synergies -- right now, we've only focused on cost of goods sold. For example, cost of goods sold, music rights, since we have more scale, we have better music rights, usual saving on insurance, saving on audit fees, saving on all these. So we haven't even looked yet at the personal side. Over time, there will be -- there are duplication in certain positions. But right now, we started the year so strong. The results are so strong on their side and our side, there is no big rush. So very confident to achieve our $10 million plus of OpEx and COG savings by year-end. And I think we might just achieve it with the COGs. We have a lot of also synergies on in terms of paying the Amazon fees and also ad service fees. So we're very excited. Again, a great merger on both sales and cost savings. I would say it's a perfect marriage.
Operator: The next question comes from Adam Shine at National Bank Financial.
Adam Shine: Eric, just on the synergies, can we just confirm that these are in CAD, or are they actually in U.S., because I thought originally they were in CAD.
Eric Boyko: So very good. We didn't realize, but we had told the markets last time when we did the deal that all these savings are in U.S. dollars. So thank you, Adam, for the question. So we had sold USD 20 million to USD 40 million of positive sales and $10 million to $15 million of OpEx savings...
Adam Shine: So turning next, we're seeing obviously, some of the top line growth. Can you speak a little bit about the possibility of margin expanding? I mean, understandably, your mix has evolved with some lower margin components that are putting a bit of pressure on the margin. But how do you see margins expanding going forward above, let's say, a 35% level?
Eric Boyko: Yes. And we did a good sheet on different margins. For sure, examples, when we get money from a fast channel partner like from LG or VIZIO, that money in that case is recorded net -- I'm going to accounting. When we do backfilling and when we do programmatic sales, we sell $1, now we have to pay our partner whatever the amount, $0.35, $0.40, $0.50. So the gross margin on both products are, one is at 95% gross profit, the other one is at 40%, 45%. So very difficult to predict. The more we do backfilling and programmatic, it's not the same margin as getting net revenues. So I'm happy offline with Marie to give you more guidance on the gross margin and the EBITDA margin. But there is an effect, when we sell directly, we report the numbers gross. I'm an accountant, so I don't want to go into too much detail, so I'll get you bored. I do have brown socks today.
Adam Shine: Okay. But my point is simply that do you see over the next, let's say, 3 years to 5 years, an opportunity to scale a mid-30% margin towards 40% or something maybe slightly above the current level?
Eric Boyko: I think we're now globally at 35%. The programmatic sales will grow so fast that a bit of the other products that we sell with E&L and with our friends at Singing Machine, I think, we can expect the 35% to grow back again towards the 40%.
Adam Shine: Okay. And just in terms of leverage, I mean, you've done a good job in the prior 2 years of significantly bringing down leverage. And I think you're already doing a pretty good job in terms of bringing leverage down after TuneIn. But what's the optimal target for you on the leverage front? Do you really want to be sub 2x? Is 1.5x, frankly, too low? What's the strategy here?
Eric Boyko: I think before a bit more aggressive entrepreneur, our range was 2.25x to 2.50x. Now I'd say after what happened, the tariffs, and COVID and all this stuff, we're getting older. So I think for Stingray, the second we get below 2x, you can start expecting capital allocation, which, again, would be increasing the dividend. We're always looking at deals, but increasing the dividend or doing more NCIB. I was reading your report this morning, Adam. I think you're estimating $2.32, $2.40 of free cash flow per share. If we do $2.40 of free cash flow per share and our dividend policy is $0.20, $0.25, then you should expect our dividend to be growing to $0.45 to $0.50.
Operator: The next question comes from Aravinda Galappatthige from Canaccord Genuity.
Aravinda Galappatthige: I just wanted to clarify, go back to the sort of the synergies on TuneIn, Eric. I mean the way that you kind of laid it out, the fact that you've already realized on a run rate basis, the $5 million on cost of $16 million on revenue synergies. If I were to perhaps simplify and simply add that to the EBITDA at the point of acquisition, as you announced is $30 million, I mean, we're really talking about a bump of a little more than $50 million in U.S. dollars, that is, by the way, in EBITDA for raised numbers as we look to kind of lay out our fiscal '27 in a more granular fashion. I just wanted to make sure I'm properly characterizing that. Is that accurate?
Eric Boyko: Roughly, you can see the cost synergies, depending if we sell third party and all that, roughly 40% gross margin and the fixed costs are pretty much -- so you can add 40% to that. So I agree with you there. And the cost synergies are coming in over the next few months. So I think those synergies will be fully coming in, in our year-end 2027. So for example, some of the cost synergies are happening in February. So you're not going to get the full value. But starting April 1, you will get full value of those synergies. And I think Marie can give you more guidance of exactly when do they come in and what timing. But you're exactly right. This deal with TuneIn, if it's a $50 million, like you say, was a very accretive deal that we did since we paid $150 million, excluding also the fact that we have all those incredible fantastic tax savings.
Aravinda Galappatthige: Exactly. And then on the same subject, but more qualitatively, can you just talk about now that you've closed the transaction, how you're sort of synthesizing your efforts in the in-car side? Because obviously, they've had their sales efforts, you had yours. How are you kind of thinking about harmonizing that? Are you just letting that run parallel for now?
Eric Boyko: No. So the day happened, the next day we were one. So when you think about it, what we do right now is every deal we have, there will be in every car. So the Nissan deal was a TuneIn deal. But with Nissan, we already added Stingray Music, and we're going to be adding Karaoke. With BYD we're adding TuneIn right away. So every car deal we have, and I must say, we used to play a game when we were -- with cash and all, we call quote on the market. But I think in this one, TuneIn and Stingray for the car manufacturers, they're very excited about our offering, but they were each talking to both of us one against each other. We were the only 2 companies offering a model that we said we'll put music, we'll put TuneIn Radio, and we'll do a rev share on advertising. Our competitor, which is a known satellite company are more in asking for a fixed price per car. But now that we merge both together, I say the car manufacturers are very excited. They're talking to one company. They feel that we're well positioned. We're the only global company on music. When you think about our competitors being iHeart or XM, they're only U.S.-based. There is not many companies that are global. And when you talk to BYD, and Mercedes and Nissan, they want us to be global and also we have the right structure of rights management. As you know, we're not on-demand, we don't pay 70% rights, so we're able to offer advertising and rev shares. So I think the car manufacturer, we're talking at CES. We met all car manufacturers in the world. We had a BYD car there at CES in Vegas. Everybody was going crazy to see the BYD car. We had Stella, the President of BYD with us in Vegas. So now we're very well positioned. And I would say now, I was telling our team here, I feel we're like the Seahawks. We're winning 19-0 in the third quarter. So I think it's for us to lose this game because we're really ahead, and we don't see anybody else in the space. And I think the car manufacturers want to go faster, because I think, they see a clear solution. So very excited. The only negative thing about cars, cars is a long process. You don't build one million cars overnight, you start with your cars. But the beauty about the cars, once you're in the car, you're in the car for 10 years and the cars last for 11 years. So it's like doing a 20-year deal. So by the time all the cars are all ready, I'm going to be 76 years old.
Aravinda Galappatthige: Congrats on all the progress.
Eric Boyko: We're very, very happy with the monetization of the current inventory -- of the unsold inventories.
Operator: The next question comes from Jerome Dubreuil, at Desjardins.
Jerome Dubreuil: First one, I want to touch again on the synergies there. You seem to be kind of resisting the urge to change your synergy guidance. So maybe other than the initial $10 million in cost savings, it now sounds like it's $10 million to $15 million. Can you agree that the lower end of the ranges seem a bit too conservative now in light of the update that you provided last night?
Eric Boyko: No, I think on the COGS and OpEx or the...
Jerome Dubreuil: Revenue and OpEx, both with the update that you provided.
Eric Boyko: On the sell side, when we said $20 million to $40 million, I said to our Board yesterday, I said we should never say -- we should say $20 million and above. Right now, I think it's $20 million to $100 million. I think there is no limit to the positive sell side that we can have. We're adding an increased number of the inventory that we're adding with LG right now, with VIZIO, we're adding Samsung, we're adding a lot of new partners with the cars, we're doing more retail deals, we're also discussing also with different partners. So the inventory that's coming in with our distribution is unmatched. Again, it is the chicken and the egg. So the more you monetize, the more people want to give you their inventory. The more you have inventory, the more you have scale, the more you can monetize. So it's a virtual circle. We have a daily meeting at noon every day to watch the programmatic sales. And if we're going to be doing $500,000 a day in March, if you look at the trends, that means we should be doing USD 1 million a day of programmatic ads in November, December in the big months. So that's the scale of that business. It's not a business programmatic that will grow by 5% to 10%. It's a business that can easily double in 6 months. And we have the inventory.
Jerome Dubreuil: Yes. Follow-up for me on the organic growth perspectives for TuneIn, you mentioned that they were up 81% year-on-year in January. Wondering if you can discuss maybe what are their stand-alone opportunities, maybe on and off platform aside from the revenue synergies that you've already discussed?
Eric Boyko: Yes, good point. Again, January was a weak January last year. Last night, we had our LG partners in town, and I don't want to say their numbers, but they had a huge number in January. January seemed to be a very -- in 2026, all of our partners are saying for programmatic ads is looking like a great year. So let's see, but a very positive year on advertising for programmatic, not only us, but we're seeing from LG, from VIZIO, and Samsung. So that's good to hear. But your exact question is what?
Jerome Dubreuil: I want to hear whether your stand-alone opportunities, maybe they can help monetize other audio platforms that are outside of the Stingray ecosystem. Maybe is that still on the table?
Eric Boyko: Absolutely. We have deals that have been announced that will be -- I guess, we'll be able to announce, but I think you'll be surprised about many third-party platforms that we're reselling on. TuneIn really developed an ad tech selling platform that we are able to sell third parties, and the third parties are approaching us and don't want to get all the details to really leverage their inventory. In Radio, believe it or not, in Radio, there is more demand than there is inventory. I know you're going to say it's impossible. But right now, with terrestrial radio declining, a lot of audio ads, people are looking to where they can advertise. So there is more demand right now than there's inventory. And TuneIn is tapped to all these partners. So it's a very exciting time where we're positioned.
Operator: The next question comes from Drew McReynolds at RBC.
Drew McReynolds: Eric, I'll say you don't see a perfect marriage very often from my experience. So good to see all of this goodness coming through. Two follow-ups. One, on the Connected Car side, are you able to just size up like at a 30,000-foot view, the revenue kind of contribution maybe in fiscal 2026, and then what that could look like in fiscal 2027? The second question, just on TuneIn and subscription revenue. I know this is not necessarily the focus of the acquisition, but just maybe some updated expectations around that revenue bucket.
Eric Boyko: Yes. So the car business, again, car business is growing well. Car business is growing by 40% to 50%, still a small number. This year, we'll do above $10 million. I think the number should double next year. Again, it's a long curve. But once you're in the cars, you're in forever. So I think the car business, we're really investing for the next 10 years. So this year, let's say, we'll go from $10 million to $20 million, but we won't go from $10 million to $100 million in the car business. It's just all the deals, they have to produce the cars and then we got to start selling the ads. So we love the business. It's good. Again, a lot of partners, every time we win a deal, you can imagine that the people that are in the cars or want to be in the cars, the Amazon, the Google, the Apple, they start calling us and say, "Hey, you're with this car. How can we be your partner in that car? How can we sell advertising with you in this car?" So we're really attracting all of the big players, because they're not in the cars. So it's going to be interesting, the monetization and the growth of each of these deals. Once you sign, it's a long time to implement and to produce the cars. It's not as fast as the FAST channels. So that was your first question. And Drew, the second question?
Drew McReynolds: Just on the TuneIn subscription revenues...
Eric Boyko: Good point.
Drew McReynolds: Your focus of the acquisition, any update there.
Eric Boyko: So when we did the deal with TuneIn, we told this to the Board and the market. So advertising growing very aggressively. We had budgeted for subscription to be down by 9%. In Q1, we're slightly better at 6%. So our goal is to become flat. The focus of the company for the last 3 years was really to sell the inventory. And now one of our focus, and we have a team put together is to bring new content to the subscription and at least have a subscription that is stable, but the growth of TuneIn and the growth of Stingray is going to be programmatic sales for the next 3 years to 5 years. Subscription for us is going to be a nice add-on. And Drew, it's a perfect wedding because like the Royal Bank, it's a royal wedding.
Operator: The next question comes from Tim Casey at BMO.
Tim Casey: Questions have been asked and answered.
Operator: At this time, I will turn the call back over to Eric Boyko for closing comments.
Eric Boyko: All right. So I hope that you like our little introduction. A couple of points that we didn't talk today, I think it's important. We also announced with a big move, the one ticker. What's the timing of this? With the deal of TuneIn, we met with all the U.S. largest investors, met with a lot of their investors, the TuneIn team was very well connected in the U.S., and we quickly realized that having the rate A, rate Bs, if you're American, you had to buy Bs, but there was no market on Bs, and the As, so we work hard to make it simple. The goal is to increase the liquidity for both Canadians and Americans to buy one symbol and not have 2 tickers. So I think all the banks did it, Canada did it, all the telecoms did it. And so our goal here is really to increase U.S. investors. We're going to be looking for U.S. coverage, and we will be much more aggressive since TuneIn is a well-known brand, and we do 60% of our sales in the U.S. to really attract a good U.S. investor base and every media company in the world, every tech company in the world has been able to grow their market cap and their multiple by having U.S. investors. We love Canada, we love Quebec, but we have to be world winners. So I'm very excited about the ticker. So hopefully, we'll see the impact of that over the next few quarters, and we'll see more of our U.S. friends buying our shares. So that was also a big move for us and excited to see the impact of that. So with this in mind, I'll say thank you very much. [Foreign Language] And excited for our next call because this year-end is only in June. So we have 4 months until we see each other. So I will miss you great analysts. If you have friends in the U.S. that want to cover us, give me their names. [Foreign Language]
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.